Operator: Good morning, and welcome to the TeleTech's fourth quarter and full year 2008 earnings conference call. I would like to remind all parties that you will be in a listen-only mode until the question-and-answer session. This call is being recorded at the request of TeleTech. I would now like to turn the call over to Ms. Karen Breen, TeleTech's Vice President of Investor Relations.
Karen Breen: Good morning and thank you for joining us today. This is Karen Breen, VP of Investor Relations. TeleTech is hosting this call to discuss its results for the fourth quarter and year ended December 31, 2008. Participating on today's call will be Ken Tuchman, our Chairman and CEO and John Troka, our CFO. Yesterday, TeleTech issued a press release announcing it's financial results for the fourth quarter and year ended December 31 and also filed our annual report on Form 10-K with the Securities & Exchange Commission. This call will reflect items discussed within that press release and Form 10-K, and TeleTech management will make reference to it this morning. We encourage all listeners today to read our annual report on Form 10-K. Before we begin, I want to remind you of our disclosure regarding forward-looking statements. Matters discussed on today's conference call may include forward-looking statements relating to our operating performance, financial goals, business outlook, and future plans and developments, which are based on management's current beliefs and assumptions. Such statements are subject to various risks, uncertainties and other factors that may cause our actual results, performance and achievements to differ materially from those described. Such factors include, but are not limited to, reliance on a few major clients, the risks associated with lower profitability from or the loss of one or more significant client relationship, risk associated with achieving the company's 2009 business outlook, execution risk associated with expanding capacity in a timely manner to meet demand, and the possibility of additional asset impairments and/or restructuring charges. A replay of this conference call will be available on our website through March 10. I will now turn the call over to Ken Tuchman, our Chairman and CEO.
Kenneth D. Tuchman: Thank you, Karen and good morning to everyone joining us on today's call. I’d like to take a few moments to review our financial performance for the full year 2008. And then I will provide some commentary on the current business climate and our 2009 outlook. After that John will discuss our fourth quarter financial results in more detail. Despite the challenging economic backdrop especially in the latter half of 2008, the strength of our business model and value proposition again allowed us to deliver increased revenue improved profitability and record free cash flows for the year. Our full year revenue reached a record $1.4 billion if you exclude the $31 million in revenue we had in 2007 from two businesses that were sold that same year, our 2008 revenue growth was approximately 5%. Client retention reached 94%, the highest it has been in several years, clearly demonstrating the strength of our long-term relationships with clients many of whom have worked with us for more than a decade. Full year revenue from offshore locations grew 14% to $628 million and represented 45% of total revenue and approximately 65% of our total delivery capacity. We believe our global footprint is one of the largest and most diversified of any BPO provider as we now operate on five continents. Full year operating margin excluding unusual items in both years increased to 11% or 90 basis points to 9.4% from 8.5% in 2007. Furthermore, excluding non-cash equity comp based compensation expenses of $10.1 million, operating margin was 10.1% for 2008. This improvement was primarily the result of increased asset utilization of our capacity across the 24-hour period along with stringent cost improvements throughout our global operations. Earnings per share for the full year excluding unusual charges increased 15% to a $1.21 per share compared to $1.05 in 2007. The strength of our balance sheet and the strong liquidity continues to be an important differentiator for both our clients and our shareholders, at the end of the year we had $88 million in cash and essentially zero net debt. We generated a $161 million of cash flow from operations for 2008 after subtracting capital expenditures free cash flow was a record $99 million for the full year. This was more than double the free cash flow in 2007. Our solid cash flow from operations continues to fund the majority of our organic growth and our ongoing share repurchase program. Our return on invested capital has more than doubled since 2005 and is a testament to the efficiency of our global delivery model. At year-end, our ROIC was 29%, which we believe is the one of the highest of any global infrastructure-based BPO company. This leads me to the current business climate and our top priorities for 2009. Our strong financial position and reputation for operational excellence continues to distance us from other BPO providers in three important ways. First, clients are increasingly seeking providers with solid balance sheet, who can fund both growth and continued innovation through internally generated cash flows given the severely constrained capital markets. TeleTech is well positioned to do so given its balance sheet, which is arguably one of the strongest in the industry. Along with our flexible capital structure, solid cash flows, strong current ratio and zero net debt. Second, the competitive landscape continues to narrow, as fewer companies have the ability to compete technologically, operationally, and geographically to provide a high quality standardized services from anywhere in the world. Our goal is to capitalize on these trends and continue to gain market share. Third, now more than ever performing as the number one BPO provider is critical to both maintaining and growing business with our clients. Our 27-year operational history, Six Sigma based quality processes and seasoned management team continues to position us as the high quality provider within the BPO industry. In light of the benefits we continue to receive from the above industry trends, let me now discuss several of our key priorities for 2009. First, we are actively working to further expand our global sales force. In 2008, we focused heavily on growing our embedded client base, while this focus paid off and resulted in 325 million of annualized signings primarily with existing clients over the past 12 months. Our focus in 2009 is on winning new client relationships. To that end, we are aggressively adding seasoned sales executives with strong BPO industry experience and vertical experience to our sales engine. We are nearly half way to our goal of hiring this team and we expect to complete the remaining hires over the next six months. Once the team is fully staffed, we recognize it will take a period of time to reap the benefits and firmly believe this will put us in a strong position for renewed revenue growth in 2010. In the fourth quarter alone we signed an estimated $100 million of new annualized revenue. The unprecedented economic challenges over the past six months have helped further strengthen our business opportunities as more companies seek innovative and cost effective outsourcing solutions. The opportunity for incremental back-office opportunities has also continued to grow and just recently a prominent healthcare insurer in the United States awarded us a portion of their claims processing business. In addition we are now providing health savings account administration work for one of the world's largest financial institution. Another key priority that I touched on earlier was continuing to perform as the number one BPO provider to all of our clients along with furthering our reputation for innovation by investing in technologies that differentiate our offering. Many of our clients benchmark us against either their own operations or against other outsource providers. Because of our innovative IP based technology, our standarized processes and our global delivery capabilities, we are consistently outperforming these other operations. As a result, our clients continue to expand the amount of business they do with us as they seek more efficient and effective ways to manage their internal front and back-office operations. The final priority that I want to discuss today is our ongoing focus on managing capacity utilization and expansion. A key contributor to our improving profitability over the past several years has been the increasing utilization of our workstations across the 24-hour period. Our operations in the Philippines is a great example of this as we are currently using our capacity in this country nearly 16 hours a day, due to increased business from not only U.S. clients, but also from other European and Asian clients. This is a model we are currently replicating in other markets such as Latin American and South Africa that we lead to further improvements in profitability overtime. In 2008, we continue to both add and rationalize capacity to meet the evolving needs of our clients and our business. During this year, we added nearly 5,700 workstations in new delivery locations predominantly in Latin America, South Africa, and the Philippines, where we continue to have strong client demand and a talented labor pool. Conversely, we rationalized 4,100 total workstations during 2008 in underperforming locations primarily as a result of unfavorable labor or currency related cost or both. Having shared our key business priorities with you for 2009 let me review our business outlook. As we monitor our client's financial results and public disclosures, nearly all of them are acknowledging the difficult forecasting environment they find themselves in. This in turn has also greatly reduced our visibility for the coming year. While we continue to sign meaningful new business and we believe the current economic environment is a positive catalyst for companies to increase the pace of outsourcing, we foresee two potential headwinds, which could offset the benefit of new business wins during the year. First, we currently estimate that strengthening U.S. dollar could adversely impact 2009 revenues by $90 million to a $110 million. Second, we could experience increased softness in existing client volumes due to further slowdowns in their business, which could negate some or all the benefits from new business ramps. In light of this situation, we are comfortable with the current analyst consensus numbers for annualized 2009 revenue along with the current analyst consensus numbers for the full year operating margin excluding any unusual charges if any. We are keenly focused on the strategic objectives I had outlined and actively managing those variables that are in our control in this dynamic environment. We are confident that our long-term vision and commitment to superior performance along with ongoing innovation will enable TeleTech to continue to deliver solid financial results and cash flows in 2009 and beyond. This confidence is demonstrated by the $90 million of share repurchase we completed in 2008 and the Board's recent authorization of an additional $25 million of share repurchase at their last meeting. This increased authorization now brings the total amount currently authorized for future repurchases to $35 million. Let me now turn the call over to John, after which I will make a few closing remarks.
John Troka: Thank you, Ken and good morning. I would like to provide some additional detail on our fourth quarter and full year 2008 financial results. Our fourth quarter revenue was $326 million, a $46 million decrease from the fourth quarter of last year. This is primarily due to $35 million of foreign currency impact and lower seasonal fourth quarter volumes, when compared to the year ago quarter, primarily in the retail and logistics verticals. In spite of the challenging economic environment, our fourth quarter gross margin increased 310 basis points over the year ago quarter to 27.6%. This improvement was due primarily to increased operating efficiencies and asset utilization of our global delivery platform across a 24-hour period. Our fourth quarter SG&A expenses decreased nearly $9 million to $51 million or 15.7% of revenue down from 16.1% of revenue in the year-ago quarter. Excluding expenses related to the completed equity compensation review and restatement of our historical financial statements, SG&A would have been $47 million or 14.5% of revenue. Decline in our SG&A expenses can be largely attributed to continued tight cost controls and leveraging our global purchasing power. Our fourth quarter GAAP operating margin was 7.1% up from 3.4% in the year-ago quarter. Excluding $6.3 million of unusual charges for restructuring, impairment, and restatement related costs, our operating margin was 9.1%, this is a 150 basis point improvement from the 7.6% operating margin in the fourth quarter of 2007, which also excluded unusual charges. Our fourth quarter results included $2.4 million of equity compensation expense or about $0.02 per share, as compared to $4.2 million or approximately $0.04 per share in the year-ago quarter. Excluding equity compensation expense and the unusual charges I previously described, our fourth quarter adjusted operating margin was 9.8%. Earnings per share for the fourth quarter increased 29% to $0.22 compared to $0.17 in the year ago quarter. Excluding unusual items, our non-GAAP EPS was $0.28. Turning now to the full year. We achieved record 2008 revenue of $1.4 billion, as our 10-K illustrates in the segment footnote to the financial statements, our revenue was well balanced across multiple geographies and we expect this to continue in 2009. Gross margin was 26.8% for the full year and relatively unchanged from 2007. Full year SG&A decreased from 15.2% of revenue to 14.2%. Excluding the restatement related expenses I previously discussed, 2008 SG&A would have been $185 million or 13.2% of revenue, down from $196 million or 14.3% in 2007. Again this decrease is largely attributed to our continuing focus on cost containment. Our 2008 operating margin increased 30% or 180 basis points to 7.8% from 6.0% in 2007. Excluding restructuring, impairment, and restatement related charges totaling $22.7 million, 2008 operating margin increased 90 basis points, 9.4% up from 8.5% in 2007, which also excluded unusual charges. Excluding full-year equity compensation expenses of $10.1 million, in addition to the other unusual charges, our adjusted 2008 operating margin was 10.1%, up from 9.4% in 2007 on the same basis. Strict cost controls and increased operating leverage continue to be the key drivers of our improved operating performance. 2008 earnings per share increased 45% to $1.06 from $0.73 in 2007. Excluding unusual items, our non-GAAP EPS increased 15% to $1.21 over 2007 non-GAAP EPS of $1.5. Our 2008 EBITDA adjusted for unusual charges and equity compensation expenses increased 100 basis points over 2007. Our 2008 adjusted EBITDA was $195 million or 13.9% of revenue, compared to 2007 adjusted EBITDA of $180 million or 13.2% of revenue. Our effective tax rate was 31% for the fourth quarter, up from 20% in the year ago quarter. The tax rate in the 2007 fourth quarter was favorably impacted by the tax-free sale of our Indian joint venture. Our full year 2008 effective tax rate was 26% and was positively impacted by $3.9 million of reductions in our deferred tax valuation allowances, primarily for our U.K. entity. We were able to reduce the U.K allowance because of its improving profitability, through the launch of new client programs, and various cost improvement initiatives. We expect our 2009 effective tax rate will range between 30% and 33%. Turning now to our balance sheet. We ended the year with $88 million in cash and a debt-to-capital ratio of only 20%. Our current ratio was 2.2 times and the strength of our balance sheet provides us with plenty of liquidity to fund our continued growth. Our DSOs were 67 days in the fourth quarter up one-day from 66 days in the previous quarter and unchanged from the DSOs in the year ago quarter. We continue to proactively manage cash collections to further enhance our working capital and free cash flows. We continue to see excellent improvement in our cash flow. We generated $35 million of cash flow from operations in the fourth quarter and $161 million for all of 2008. After $10 million of capital expenditures in the fourth quarter, our free cash flow increased 280% to $25.4 million up from the negative free cash flow of $14.1 million in the year ago quarter. I am very pleased that our free cash flow for the full year 2008 reached a record $99 million. This was a 133% increase from $42 million of free cash flow in 2007. Our net capital expenditures for the full year were $62 million. The majority of these expenditures related to the addition of nearly 5,700 BPO workstations primarily in non-U.S. locations. We also continue to invest in the expansion of our innovative technology and telephony platforms. In 2009, we will continue to tightly manage our capital. Current plans include further expansion in locations that continue to be highly attractive for both TeleTech and our clients. We expect 2009 net capital expenditures to range between $45 million and $55 million, as always we are being extremely prudent with the timing of adding new capacity and continue to see firm client commitments before expanding significant capital. Given our strong cash flow from operations, our $88 million of cash on hand and nearly $140 million of additional borrowing capacity under our credit facility, we have ample liquidity to fund our ongoing operations. As Ken mentioned earlier, we repurchased $90 million of stocks since resuming our share repurchase program in late 2008. $50 million of these repurchases occurred in the fourth quarter. Given the Board's recent authorization of an additional $25 million for repurchases, we intend to continue buying back our stock throughout 2009. In summary, we are confident in our ability to execute during these challenging economic times and we are comfortable with the current analyst consensus for 2009 annualized revenue and operating margin. With that I will turn the call back over to Ken.
Kenneth D. Tuchman: Thank you, John. While many companies are merely focused on survival during these challenging economic times. TeleTech continues to be focused on innovation and leveraging the growing market opportunity for both front and back-office outsource solutions. Our strong balance sheet, exceptional operational performance, and diversified global delivery capabilities have positioned us as a critical and strategic business partner to our longstanding clients base. We look forward to updating you in the coming quarters. And we will now open the call to your questions. Thank you.
Operator: (Operator Instructions). Our first question today comes from Ashwin Shirvaikar. Your line is open and please state your company name.
Ashwin Shirvaikar – Citigroup: Hi, it's Ashwin Shirvaikar from Citi. Congratulations guys on the quarter. My first question is on, can you comment on the visibility of existing client volume growth or even maybe volume stability?
Kenneth D. Tuchman: I’m sorry, Ashwin. Hi it's Ken. Could you just repeat the question, we are not hearing you well there was a loud buzz in the background.
Ashwin Shirvaikar – Citigroup: Sure. Is it better?
Kenneth D. Tuchman: Yes it is.
Ashwin Shirvaikar – Citigroup: Okay. The question was, can you comment on the visibility of existing client volumes and possibly even when you might see some volume stability?
Kenneth D. Tuchman: Yeah. Our clients provide us with 90-day rolling forecast and from what we can see the volumes do appear to be stable, we do weekly volume checks internally, we are across the globe, we scan all of our clients and we try to identify where the volumes are in relationship to the forecast they provided us and thus far we see nothing that is concerning or that's outlining of our forecast. So, overall I think we believe the volumes are in fact stable.
Ashwin Shirvaikar – Citigroup: Okay. And how many new sales people are you hiring relative to the base?
Kenneth D. Tuchman: So, we are adding and strictly in the what we call the new logo area 15 senior sales executives, of which we now have 7 onboard and last night we've just added another one, which would take us to 8.
Ashwin Shirvaikar – Citigroup: Okay.
Kenneth D. Tuchman: So, we are half way there, and our belief is that sometime between the end of second to a third quarter, we will have the entire staff onboard, and then of course we will take some time for them to build their pipeline et cetera.
Ashwin Shirvaikar – Citigroup: Okay. If I look at say approximately a dollar in EPS for 2009, which is sort of in line with the consensus. And I take into account that part of that EPS performance would be increased share buyback, is it fair to then assume that sort of backing into the operating cash performance expectation for 2009 that you'll be may be 5% to 10% below, but still pretty good cash performance relative to 2008.
Karen Breen: You mean cash flow from operation?
Ashwin Shirvaikar – Citigroup: Cash from operations, yes.
Karen Breen: Yeah. I think it's an indicator as to net income would be a good indicator of what potential cash flow from operations would be…
Ashwin Shirvaikar – Citigroup: Okay. And one last question if I could sneak that in, in terms of, when you sign a new contracts are you seeing any changes to credit terms and or DSO expectations or anything like that and what your clients are saying to you, when you sign new contracts that's different from what they might have said 12 months ago?
Kenneth D. Tuchman: Yeah, we have always been very conservative from a credit standpoint, and I think part of what makes our job maybe a little bit easier to manage as it relates to credit is, we pretty much don't do business with anyone outside the Global 1000. That said in these times there has been multiple companies within the Global 1000 that have had some challenges, but for the most part the new contracts that we're negotiating and being awarded there is no change in credit terms whatsoever, and in fact in some cases, we are actually asking for a better overall terms where we can bill in shorter cycles i.e. every two weeks et cetera. So, thus far we are not seeing that and certainly our DSOs were very pleased with they have been right within target, and we were confident that we can continue to maintain them in the same range.
Ashwin Shirvaikar - Citigroup: Okay great good performance. Thank you.
Kenneth D. Tuchman: Thank you very much Ashwin.
Operator: Our next question comes from Bob Evans. Sir your line is open, and please state your organization.
Robert Evans – Craig-Hallum Capital: Hi. Craig-Hallum Capital. Good morning everyone. And nice job on the quarter and free cash flow. First, on the business mix of the $100 million that you signed in Q4, can you give us a little greater sense of where it's coming from, and how much is new versus existing customers?
Kenneth D. Tuchman: Yeah. Hi Bob. Healthcare which would be on the payer area, communications and the wireless area and the broadband area, government, which would [become] from multiple areas, and then financial services would be the areas that we have seen increased business.
Robert Evans – Craig-Hallum Capital: How about in terms of, and that increased businesses that mainly I mean how much of that $100 million would you say is new versus existing, if you are going to ballpark it?
Kenneth D. Tuchman: I’d say the majority of is embedded base however that should not be confused as not new business, what I mean by that is we are winning several new projects that are out of scope of the original SOW and that's something that's always very important to us that we grow our relationships so that we have a much more diversified overall relationship with the client and that is coming from multiple different areas. So, we might be doing insurance work for a bank as well as standard bank work as well as back office work, et cetera and those were the types of things that we look for to stand across their product line. So, to answer your question more, I’d say most of the business is from the embedded base at this point, which is hence the reason why we believe we have a need to have a dedicated force that is solely focused on attacking new logos that we are currently not doing business with.
Robert Evans – Craig-Hallum Capital: Okay. And how would you characterize the new deal environment in terms of deals you are looking at now, how much is embedded based versus potential new logos and would you say their level of activities increase, decrease, give us some sense given the economic backdrop?
Kenneth D. Tuchman: Well, I’d say that in our pipeline there are a number of deals that are actually quite a bit larger than what we've historically seen, the question is are these deals that will actually get done, and I only say that because it's just, it's very hard to tell and if they were to get done and they are very meaningful and we typically have a track record over the last 27 years of being successful and wining large deals. That's what we are focused on and we are definitely seeing more of them, some of it is just really frankly outsourcing due to the economy and the need for cost improvement within these large multinational business. So, overall I'd say that we are uncovering a healthy amount of opportunities that said we're kind of taking it quarter-to-quarter as it relates to what the close ratios are going to be and I only say that just because it just seems like every single day there are something new that gets announced via our federal government et cetera that in some indirect way or direct way impacts our clients and sometimes that changes their opinions on whether they are going to outsource sooner versus later. So, overall I think we feel good about the pipeline and I think we feel good about the prospects for the future, but candidly our main focus is to have a company that's profitable, that has a very strong balance sheet, that gets through 2009 with no risk whatsoever and that's prepared for the future to really begin to start growing into 2010 and '11 timeframe.
Robert Evans – Craig-Hallum Capital: I understand. Thank you. And a couple of quick questions, the free cash flow question from the previous caller, if we view cash flow from operations maybe down 5% or 10% year-over-year. I believe you said your CapEx is probably going to be down around 10 million if you use the midpoint is it fair to say that free cash flow will be somewhat comparable or close to comparable?
John Troka: This is John. Bob relative to the free cash flow yeah the capital is going to come down so that's going to benefit the free cash flow as well as again there is a lot of expense that was incurred in 2008 relative to our restatement in '08 that we'll not have to occur in 2009. So, both of those factors together will help to maintain that cash flow. So, again we are not expecting to see a significant reduction in that number.
Robert Evans – Craig-Hallum Capital: Okay. So, may be I think flattish or so. And also the 4,100 seats that I think you said you contracted for various reasons in ’08 can you give us a greater sense of where those seats were located?
John Troka: Yeah. A large percentage of those seats are in Canada and the U.S and then in Spain and Australia.
Robert Evans – Craig-Hallum Capital: Okay. Were most of those seats, migration seats to offshore or just program that you chose to wound down?
John Troka: Predominantly migration to offshore and again its opportunities arrive do allow us to step away from facilities and then we take advantage of those as they come up.
Robert Evans – Craig-Hallum Capital: Okay. All right. Thank you.
Kenneth D. Tuchman: Thank you.
Operator: Our next question comes from Tobey Sommer. Your line is open and please state your organization. Tobey you may go ahead with your question.
Kenneth D. Tuchman: Okay. We should move on to another question?
Operator: Certainly, one moment please. Our next question comes from Josh Vogel. Your line is open and please state your organization.
Josh Vogel – Sidoti & Company: Good morning. Sidoti & Company
Kenneth D. Tuchman: Good morning.
Josh Vogel – Sidoti & Company: My first question, I was wondering if you could may be quantify for us how much revenue is coming up for renewal in ’09 from your top five clients and if you started these negotiations and if so are you getting any push back from these clients on the pricing side?
Kenneth D. Tuchman: Yeah. In terms of the revenue about 15% is up for renewal in 2009. We are well down the path in terms of renegotiating with the particular clients, were the program that we are interested in keeping and again are comfortable that the ones that we are working on will be renewed. And there is nothing unusual about the amount of revenue that's up for renewal this year versus any other year that we do business and then based on our client retention numbers that are consistently are getting better year-over-year-over-year we are very comfortable with the revenue that's under that's coming up for actual renewal.
Josh Vogel – Sidoti & Company: Okay. And what about on the pricing side, are you getting any push back there?
Kenneth D. Tuchman: No, I would say no not at all I mean we are not really seeing a lot of that type of activity I think that most of our clients because they're going through consolidation and they are coming, in many cases they're leading smaller providers and going to larger providers, one of the main reasons why they're leaving is because they're feeling like they're not getting the overall depth and breath and technology. And they understand that a company of our size and our capability have cost associated with delivering these capabilities. And so that's really not a huge at least at this point in time I should say, that's really not a big part of the negotiations. So, we are not really seeing much of that type of the activity.
Josh Vogel – Sidoti & Company: Okay. That's helpful. Thank you. Now as we look towards net seat additions for '09, do you have any estimate, should we expect it to be somewhere along the lines of '08, where you added about a 1,500 net seats?
John Troka : Yeah Josh, this is John Troka. I mean right now it's actually not lower than that, its probably around 4,000 if we actually do execute on the plan that we have in place, again that seat add is highly sensitive to the demand that's out there. So, if we see a lot of demand come in, we will add the seats to make sure that we can meet it.
Kenneth D. Tuchman: You should also note that, we are very focused on overall workstation utilization and so now what's happening now that we've become, our size is, with over 40,000 seats and 26,000 workstations offshore we are able to really put a lot of energy indicating better overall workstation utilization and so as we can continue to do so in these other countries, that means that for every dollar revenue we generate, we can spend far less capital. So, if we can continue to get the kind of workstation utilization that we now have in the Philippines if we can get that into other countries then in theory you could make the argument overtime that we will need somewhere around, in the realm of 35% to 50% less workstations to build-out going forward just because we are getting double the actual utilization.
Josh Vogel – Sidoti & Company: Great, okay. So, as we look at '09, on the non-dedicated seats, you think we can get back to utilization levels that we saw in '07, which was I think was about 79%?
Kenneth D. Tuchman: Yeah. I think that's very possible.
Josh Vogel – Sidoti & Company: Okay.
Kenneth D. Tuchman: But again our, you are talking about capacity utilization and I’d also, I’d remind you that our number one focus is always the actual workstation utilization itself that drives the highest overall profitability potential versus just the capacity. But yes I think that 79% is a very reasonable target for us to achieve in '09.
Josh Vogel – Sidoti & Company: Okay, great. And you have done a nice job growing the offshore business year-over-year, I was wondering if you had any internal targets of where you expect that business to get, in '09 or over the next couple of years in terms of total revenue?
Kenneth D. Tuchman: Yeah. We don’t I’d say that it's naturally going to continue to grow, but my guess is between now and '10 the offshore business will most likely pick up another 5 points or maybe as much as 10 points, but that's about it over a two year period of time.
Josh Vogel – Sidoti & Company: Okay, great.
Kenneth D. Tuchman: I think we're very comfortable with the distribution of the business. We actually do see some opportunities to expand workstations in the United States and we're excited to add as many jobs here as possible.
Josh Vogel – Sidoti & Company: Okay. And just lastly here you're obviously doing a good job generating cash, I was wondering if, what's your number one priority now in '09 are you going to look to continue buying back shares or you're going to maybe try to take advantage of some acquisition opportunities or debt repayment?
Kenneth D. Tuchman: Well I think that at this point in time, we believe our shares are tremendously undervalued and so we're not sure of anything else that we could do that's more accretive in acquiring our own shares. That said as we get later into the year and as some of the debt pressures start to mount and grow on various different target companies there might be some opportunistic acquisitions that we would then take a look at and focus on. But, for now I think the focus would just be to invest internally and grow internally, as well as to invest in our share repurchase.
Josh Vogel – Sidoti & Company: Great. Thank you very much.
Kenneth D. Tuchman: Thank you.
Operator: Our next question comes from Eric Boyer. Your line is open and please state your organization.
Eric Boyer – Wachovia Capital Markets, LLC: Hi. Thanks, Wachovia. Can you talk about how the street estimates and your guidance compares to the range of outcomes that you're working against in your internal planning projections is in the middle or the lower end of the possible scenarios you see playing out in '09?
Kenneth D. Tuchman: I think just the safe answer would be it stays in the middle.
Eric Boyer – Wachovia Capital Markets, LLC: Okay, great. Also could you talk a little bit about the prospects for Sprint and Ford in '09?
Kenneth D. Tuchman: I'm not sure, I understand the question but as you may know, we tend to not really comment on any of our clients, its just part of our overall confidentiality agreement that said we enjoy a good relationship with them and we are looking-forward to continuing to work with them and support them.
Eric Boyer – Wachovia Capital Markets, LLC: Could you give us an idea of what the share count is today?
Kenneth D. Tuchman: I believe it around 65 million shares.
John Troka: 63.8.
Eric Boyer – Wachovia Capital Markets, LLC: Okay, great. And then just finally, just the pace of the business entering the pipeline and moving through it, have you seen any changes from Q4 is it starting to loosing up a little bit you had a strong Q4 and a early read on your Q1 awards?
Kenneth D. Tuchman: Yeah. I would say our pipeline is pretty much remained somewhat the same there are some opportunities that we are working on, that like I had mentioned before that are fairly large that said, we do not have visibility as to if there is a closing opportunity in this quarter or not, we find in our business its not unlike most businesses, that we tend to sign the majority of our business in the last month of the quarter. And it's just a pretty common phenomenon. So, at this point, we have signed business thus far in the quarter and its still too early to say or to give a real good feel yet as to how large this next quarter of signings is going to be, but we are based on the dynamic aspect of the economy that we are in, we are pleased with the business that we signed last quarter and our goal would be to obviously try to continue to keep increasing the level of signings that we are doing.
Eric Boyer – Wachovia Capital Markets, LLC: Also did you talk about tax rate assumptions for '09?
John Troka: Yeah for '09, we expect tax rate to be between 30% and 33%.
Eric Boyer – Wachovia Capital Markets, LLC: All right. Thanks a lot.
John Troka: Yep.
Kenneth D. Tuchman: Thank you.
Operator: Our next question comes from Shlomo Rosenbaum. Your line is open.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Hi. Thank you very much for taking my questions. Ken I wanted to ask you for your what the trends are for rationalizing capacity over 2009, you did a tremendous amount of that over 2008 and I’m sure it help the utilization, while I just want to know what you guys are planning this coming year?
John Troka: This is John, Shlomo. In terms of the capacity, again we continue to take a hard look at the capacity that we have available when things are coming up, particularly in the market where we are seeing labor pressures, currency pressures and the like that we don’t believe will change any time in the near future, taking a hard look at Canada, we've rationalized several sites up there in 2008. Looking at 2009, I mean the good news for us is that we have the sites remaining close to 70% of that capacity, we can exit from a lease perspective within the next 12 months. And so we have plenty of opportunity, if current conditions continue to exit in that particular area, we are also taking a hard look again, it's some of the capacity we have in our Asia-Pacific region.
Shlomo Rosenbaum – Stifel Nicolaus & Company: What kind of capacity would you be having in the Asia-Pac, you're talking outside of the Philippines and stuff like that?
John Troka: Yeah. We are talking about Australia, New Zealand, Singapore, Hong Kong.
Shlomo Rosenbaum – Stifel Nicolaus & Company: So, would you say that you got a lot less coming in front of you in 2009 versus what you had in 2008?
John Troka: I think what we are saying is that we're in a very flexible position and that we believe that we have a pretty good handle on our destiny, and that we can throttle this either direction. So, I think if you wanted to model something I think it's probably safe to say that we'll take out somewhere between 1,500 and 2,000 workstations. That said if we need to, we could take out more, and we do it for multiple reasons, if we believe we're seeing trends in a particular labor market that over, looking back several years or just continuing to become negative as it relates to employee attrition turnover attitude towards the job et cetera, et cetera, et cetera then we are very proactive, and we deal with it, and we're very pleased with how we've been able to continue to kind of shape our business, and we think that it's good that we're in a situation where our lead structures are so flexible that we can in fact make these decisions as needed.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Yeah. And just wanted to ask a one more question about pricing as it relates to excess capacity in the industry, it seems like there is a lot less excess capacity at least domestically then it was in the last downturn. Can you talk about how that might be affecting competitor pricing on the deals that you're seeing and what do you think is going to happen going forward, however, the deals are getting [your price]?
Kenneth D. Tuchman: I think the market has gone through a pretty significant lesson in educational process as it relates to pricing, I think that the larger providers that are striving to provide a quality service are in fact providing rational pricing and understand that you can't be in this business, when you have as much of a percentage of your expense in labor by making it up in volume, and so I think the prudent ones are charging a price that affords them a fair profit margin, and therefore allows them to maintain their balance sheet and not dig a deeper hole. I think the smaller companies, unfortunately, the only way they can win business, is typically by buying the business, and I think that that’s why we are confident you are going to see dramatically more consolidation in the space because we believe that their financials are continuing to deteriorate at a more rapid level. We don’t compete with Tier 2 or Tier 3 providers, and so overall, we are seeing a pretty rational pricing marketplace. I’d say that today knowing full well that this economy is going to get worse before it gets better, and obviously things are subject to change, but thus far it's so important to our clients that they are being delivered high customer satisfaction, which is measured by third parties, and that they are being provided very high overall less time et cetera and so they realize that the infrastructure that we are delivering, and the management that we are delivering and the technology that we are delivering does have a cost associated with it. So, we think we will be able to continue to charge rates that are fair and are competitive and yet afford us the ability to make a reasonable profit.
Shlomo Rosenbaum – Stifel Nicolaus & Company: And then just a housekeeping I want to ask you again that share count question, I didn’t understand it right it was $63.8 million and that was an end of quarter share count number?
Karen Breen: That’s the number that’s on the 10-K Shlomo for the actual shares outstanding.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Certainly.
Karen Breen: The fully diluted would be the 65,217 for the quarter. And then a year it was about 59, but it's coming down, as you know because of the share buyback.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Can you give us any update as to what you guys are expecting in the end of first quarter for shares since repurchases seem to be a component of the EPS?
Karen Breen: Sure.
Kenneth D. Tuchman: I don’t think we…
Karen Breen: Yeah. I can talk with you about that there is going to be some vesting of our issues that happened in the first quarter, which would add to the share count, but then there will be some buyback, so if you want to talk about it further we can do that off-line.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Okay. Thanks a lot and good job on the free cash flow again.
Kenneth D. Tuchman: Thank you very much.
Operator: And we have time for one further question. Kevin McVeigh your line is open. And please stage your organization.
Kevin McVeigh – Credit Suisse: Great. Credit Suisse. Thank you. Nice job on the quarter. I was wondering if you could give me a sense of the 15 sales people that you are targeting are there specific verticals you are focusing on?
Kenneth D. Tuchman: We are really focusing just on the traditional verticals that we have always enjoyed success in, so it's the obvious places of financial services and common media, healthcare, government, et cetera. We are probably not putting as much focus on retail as we have in the past for obvious reasons, nor in automotive, but there is really nothing unique about the areas that we're focusing on. We might be adding a couple new verticals that we are not prepared to talk about at this point in time that we think there is some pockets of opportunity that are maybe not being mind as actively, but that's about it.
Kevin McVeigh – Credit Suisse: Great. And then obviously I know it's a tough environment right now, but in a more normalized environment what would be a target for new logo wins for each of the sales people. If you could kind of quantify a range on that as you think about 2010?
Kenneth D. Tuchman: You mean is that, are you asking what their quota would be?
Kevin McVeigh – Credit Suisse: Yeah.
Kenneth D. Tuchman: I'm going to give you intentionally a very wide range just because I kind of view it as a bit proprietary.
Kevin McVeigh – Credit Suisse: Okay.
Kenneth D. Tuchman: But I would say that it's anywhere from $10 million to $15 million.
Kevin McVeigh – Credit Suisse: Great. That's helpful. And then just one last question, it seems like there was a negative seasonal effect in terms of revenue, what was that number, if you could give us a range to obviously at the end of the season it was normal, would how much of that impact the top line in the fourth quarter?
John Troka: How much uplift that we get from seasonal or how much…
Kevin McVeigh – Credit Suisse: How much did, I know typically you do get the seasonal lift this year given that…
John Troka: Yeah, it was about a $10 million delta over the prior year. That we didn't see because of the impact of the economy.
Kevin McVeigh – Credit Suisse: Great. Thank you.
Kenneth D. Tuchman: Thank you.
Karen Breen: Thank you. This concludes our call today. We appreciate everyone attending.
Operator: This concludes the TeleTech's fourth quarter 2008 earnings conference call. You may disconnect at this time.